Operator: Good morning. My name is Sherry, and I will be your conference operator today. At this time, I would like to welcome everybody to Jushi Holdings Second Quarter 2020 Earnings Conference Call. Today's call is being recorded. I will now turn the call over to Michael Perlman, Executive Vice President of Investor Relations and Treasury.
Michael Perlman: Good morning. Thank you for joining us today for Jushi Holdings' second quarter 2020 earnings conference call. Joining me on today's call are Jim Cacioppo, Founder, Chairman, and Chief Executive Officer; and Kimberly Bambach, Executive Vice President and Chief Financial Officer. This morning we issued a press release announcing our financial results for the second quarter ended June 31, 2020. The press release along with unaudited financial statements are available on our Web site under the Investor Relations section and filed on SEDAR. Before we begin, I would like to remind you that the comments on today's call will include forward-looking statements, which by their nature involve estimates, projections, goals, forecasts, and assumptions that may be based on anticipated operations, acquisitions, and/or market conditions, and are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements and certain material factors or assumptions that were applied in drawing a conclusion or making a forecast in such statements. These forward-looking statements speak only as of the date of this conference call, and should be not relied upon as predictions of future events. Additional information about the material factors and assumptions forming the basis of the forward-looking statements and risk factors can be found in the company's Management Discussion and Analysis filed on SEDAR. With that, I'd like to turn the call over to Jim Cacioppo, Founder, Chairman, and CEO.
Jim Cacioppo : Thank you, Michael, and thank you everyone for joining our call today. I hope everyone is doing well and staying healthy during this time. This morning, I would like to take a few minutes to review the progress we have made since our last call, as well as provide a broader update on our operational footprint. I'll then turn it over to Kim to review our financials. Then we'll open it up to questions. I am very pleased to report revenue of $14.9 million in the second quarter of 2020, a 73% sequential quarterly increase, driven by strong revenue at our BEYOND/HELLO stores in Pennsylvania and Illinois, and successful procurement of products in these two supply constraint markets. Moreover, we have seen strong revenue growth as we exited the second quarter. Specifically, our annualized revenue run rate for July adjusted for the impact of the two closed stores in Philadelphia was $89 million, an 80% increase over our March annualized revenue run rate, and our August mark-to-date revenue remains robust. As announced on our last earnings call, we began implementing several cost reduction initiatives across our network of retail stores with a focus on strengthening our financial rigor and driving long-term profitability. These initiatives included the implementation of strategic purchasing practices, optimizing our labor model, improving our in-store product mix, creating additional targeted promotions, and further leveraging our Beyond-Hello.com online platform. We are beginning to see the impact of these changes in our quarterly result, and expect the full impact to become more evident in second-half of the year. In April, we very successfully re-launched our online platform Beyond-Hello.com, which now features a vastly improved customer experience, real-time access to store inventory, and importantly, online reservation. We believe cannabis has the potential to be one of the most tech-driven industries, and we expect that the rise of technology in the cannabis [space] [ph] both online and in-store will accelerate over the next few years. Since re-launching Beyond-Hello.com, we have seen a tremendous volume of online ordering, and customers taking advantage of our express and curbside pick-up. Since the re-launch, we have generated in excess of a 100,000 online preorders, serviced over 40,000 customers, averaged nearly 900 customers per day, of which, approximately 450 per day or 50% of the customer served are new, and have seen our customers average curbside increase by approximately 10%. We have also been able to generate a 6% e-commerce conversion rate, which is two times the retail sector average according to Smart Impact. We have already begun to learn more about our customers' shopping behaviors. For example, nearly 75% of our customers shop or select their products online prior to walking into one of our dispensaries, and over 80% of our customers access Beyond-Hello.com through their mobile devices. These insights and many others are starting to shape our products offerings and the way we service our customers. Now, let's take a look closer at our operations. In Pennsylvania, we recently announced two acquisitions. In June, we acquired 80% of the economic and voting interests of Agape Total Health Care, Inc., a Pennsylvania dispensary permittee, which takes the company's subsidiary-held dispensary count from 12 to 15. Earlier this month, we acquired a 100% of the equity interest in the Pennsylvania Grower-Processor permit holder that operates a 90,000 square foot cannabis cultivation and processing facility strategically located within minutes of Interstate 81, Interstate 84, and the Pennsylvania Turnpike, enabling efficient wholesale distribution to the 89 dispensaries currently open across the Commonwealth, including the company's eight operational BEYOND/HELLO dispensaries in Pennsylvania. Since closing on the Pennsylvania Grower-Processor acquisition, our focus has shifted to optimize the facility to ensure long-term growth and market share expansion in the Pennsylvania market. Jushi will be targeting a series of operations and facility improvements combined with the recently completed expansion of the facility are expected to significantly increase production of both pre-packaged flower and extracted products. It is expected that the operational improvements will be implemented over the next 12 to 15 months. Since assuming control of facility, we have already begun to execute on a number of these initiatives including, first, an expanded footprint. The expansion of cultivation area from 20,000 square feet to 45,000 square feet was recently completed. It is expected that the first harvest from the expansion area will occur in September and October. As previously disclosed, the property has the optionality to increase the indoor cultivation area by an additional 25,000 square feet, bringing the total to 70,000 square feet. Second, the introduction of new extraction technology, the facility currently employs super critical CO2 extraction technology to offer an assortment of extracted products, which include vape products, tinctures, soft gels, and balms. Construction and renovation of a Class I, Division I extraction room will enable the company to incorporate hydrocarbon extraction technology into the facility, allowing for an increased assortment of concentrate products leveraging Jushi's in-house operational expertise and brand portfolio. Third, increase facility automation; investments in automation equipment including billing, labeling, sorting, batching, and trimming equipment, these investments will help drive efficiencies in facility leading to enhanced product margins and improved facility throughput. Four, we plan on implementing a series of operational upgrade centered on improving the yield of the cultivation area, thereby, increasing biomass output. This will include improved propagation and plant care, additional lighting, and contribution from the benching systems and automation equipment. Fifth, improving utilization of current space, including introducing roving bench system and streamline room designs. Sixth, improving the product mix to capitalize on the strong patient demand for our prepackaged flower. In the Pennsylvania market, we will optimize the facilities mix of flower and extracted trim production. We will also introduce additional lighting and new automation equipment to help improve recoveries of flower, increase the quality of flower and prevent loss of potency, and finally, improving annual turns and minimizing downtime, we tend to increase productivity of the facility by improving the coordination between cultivations and sanitation team by implementing a more balanced strain mix and a staggered harvest cycle. Jushi also opened two new dispensaries in Ardmore and Reading, Pennsylvania, bringing its total store count in the Commonwealth to eight medical dispensaries operating under the BEYOND/HELLO brand. The company has a right to operate up to 15 dispensaries, and expect to open the remaining seven locations within the next 12 months. The company also has an assignable purchase option to acquire 100% of the equity of Pennsylvania Dispensary Solutions, or PADS, a Pennsylvania medical marijuana dispensary permittee in the Commonwealth's Northeast region. PADS currently operates two medical marijuana dispensaries, with the right to operate one additional dispensary in the region. The auction expires in February 2022, and is subject to certain closing conditions, including approvals from all appropriate regulatory authorities. As of August 1, 2020, the company's BEYOND/HELLO Center City and Northern Liberties stores were reopened after being compromised earlier this summer amid demonstrations in the city. To date, the company has recovered approximately $400,000 in damages from insurance proceeds. Second quarter 2020 organic same-store sale revenue in Pennsylvania increased approximately 50% as compared to the first quarter of 2020, excluding the two previously closed Philadelphia stores. This improved performance is due to the improved management, and product procurements, and the introduction of Beyond-Hello.com. In the second quarter, the company also hired a head of retail operations in Pennsylvania with significant retail experience in the local market. It is worth noting that earlier this week, the Governor of Pennsylvania, Tom Wolf, called on the Pennsylvania legislature to legalize recreational marijuana in an effort to help businesses and individuals hit hard by the coronavirus pandemic. If this legislation were to pass, this would significantly benefit both of our recently acquired Grower-Processor, and our retail operations in the Commonwealth. Turning to our operations in Illinois; in February 2020, Jushi became the 100% owner of two medical cannabis dispensaries located in Sauget, which is adjacent to East St. Louis and Normal, which is in the BloomingtonNormal metro area. Since acquiring the two dispensaries, both locations have been re-branded to BEYOND/HELLO, and have begun adult-use sales. The Sauget dispensary began adult-use sales in March of 2020, and the Normal dispensary began adult-use sales in May 2020. Each dispensary is eligible to seek approval from the IDFPR to open a second retail location. We have exercised both options and have secured locations for both stores with design and construction in process. We expect to have all four adult-use stores operating by the end of 2020 or by early first quarter 2021, and believe the two new locations can rank among our best performing stores due to their superior locations. Second quarter 2020 organic same-store revenue in Illinois increased approximately 330% from the first quarter of 2020, driven by the introduction of adult-use sales, the re-launch of Beyond-Hello.com, improved procurement, additional store hours, and improved in-store customer experience. We also have several initiatives to vertically integrate our Illinois operations. Moving on to Virginia; earlier this month, Jushi's majority-owned Dalitso LLC, a Virginia-based pharmaceutical processor for medical cannabis extracts received approval from the Virginia Board of Pharmacy to commence vertically integrated operations for the cultivation, manufacture, and the sale of medical cannabis. Dalitso is one of only five applicants who have received conditional approval for a pharmaceutical processor permit issued by the Virginia Board of Pharmacy, and now, one of only four to have received final approval and permit issuance. The company is in the final stages of completing the build out of its cultivation, manufacturing, and retail facility in Prince William, near the City of Manassas, and expects the facility to be operational in late summer/early fall of 2020. The company anticipates adding five BEYOND/HELLO branded medical dispensaries in Virginia. These five BEYOND/HELLO branded medical dispensaries will be in addition to the Dalitso's pharmaceutical processor facility near the City of Manassas, which will allow Dalitso to cultivate, process, dispense and deliver medical cannabis to registered patients in Virginia. Although it is very early, we are cautiously optimistic that adult-use legislation will be seriously considered next year in Virginia. Switching to California, in July, 2020, Jushi acquired a licensed Santa Barbara dispensary expected to open in late September/early October of 2020. The City of Santa Barbara is a limited license market and currently only allows for three dispensaries to operate in the jurisdiction. The Company also signed a $3.2 million sale-leaseback agreement related to the real-estate previously purchased in connection with this license. The company also intends to move forward in the merit-based application process as one of only three selected applicants for a storefront retail and ancillary delivery permit in Culver City, California. We will continue to pursue additional retail opportunities in specific limited license markets in California, particularly in jurisdictions with high barriers of entry, limited market participants and a firm handle on the local unregulated market. Before we further discuss our outlook, I will now ask Kim to review our second quarter performance. Kim?
Kimberly Bambach: Thanks Jim, and good morning everyone. Before starting as a reminder, the results that we will be going over today can be found in our financial statements in MD&A and all our U.S. dollars. Revenue for the second quarter of 2020 was $14.9 million, a 73% increase compared to $8.6 million in the first quarter of 2020. As mentioned earlier, this 73% increase in revenue is primarily driven by Jushi definition of two dispensaries in Illinois, both of which began serving adult-use customers, the first in March and the second in May, as well as strong organic growth at the company's BEYOND/HELLO stores in Pennsylvania. Gross profit for the quarter was $7.5 million resulting in a gross margin of 30%, a $3.3 million or 80% increase in gross profit when compared to the first quarter of 2020. The increase in gross profit over the prior quarter is primarily due to the increase in revenue as well as incremental margin improvements. Adjusted EBITDA loss in the second quarter of 2020 was $1.2 million compared to $6 million in the first quarter of 2020. The $4.8 million reduction and adjusted EBITDA loss in the second quarter was driven by increases in both revenue and gross profit resulting in a significant reduction in operating expenses as a percentage of total revenue, which is expected to continue as a scale. At last quarter, we find adjusted EBITDA a non-IFRS measure, as I said before, fair value adjustments and biological assets and fair value adjustments and sale of inventory. Share-based compensation expense, fair value changes in derivative warrants, net gain on business combination and gain losses on investments and financial assets. Net loss for the quarter was $9.3 million or $0.10 per diluted share compared to a net loss of $15.9 million or $0.17 per diluted share in the first quarter. So $6.6 million reduction net loss in the second quarter was driven primarily by the both higher revenue and gross profits as discussed. In addition, as expected, we recorded again an investment. As a result of improved market conditions, as well as an offsetting $3.3 million fair value loss under the warrants issued in connection with a debt offering. That was announced in December 2019 and June of 2020. Turning to the balance sheet, as of the end of the second quarter, the company had cash of $38.5 million and $12.3 million in short-term investments, total current assets of $62.4 million and current liabilities of $34.4 million, which results in a net working capital of $28 million at the end of June. As of July 31, the company has $46.7 million in cash, $8.7 million in short-term investments, and is fully funded for the build-out of the current portfolio. Additionally in August, we received the remaining $4 million on our latest oversubscribed debt financing round for a total of $33.31 million. I would like to turn the call back over to Jim to discuss our outlook.
Jim Cacioppo: Thank you, Kim. Moving on to our outlook, our strategy remains focused on building out a high quality footprint and pursuing attractive acquisition opportunities in our existing markets. Our corporate overhead has substantially built out and any further acquisitions and organic growth will not add significant overhead, thereby creating a platform that we can bolt-on new revenues and profits. This will make future deals very cash flow accretive to shareholders. While there continues to be great uncertainty in the overall market, we believe our strong balance sheet and disciplined approach to capital deployment positions Jushi to continue to both organically grow in current markets and pursue acquisition opportunities across the supply chain in existing states that we currently operate in. In fact, since our last earnings call, we have raised approximately $38 million in cash, approximately $33 million of which was from senior secured note debt thing. And approximately $5 million was from two recent sale lease backs, which provided cash for further growth opportunities. With respect to our outlets, on a pro forma basis, including the impact of the recently closed acquisitions of a Pennsylvania grower-processor and our expectation for strong operating results in second-half of the year, we're providing third quarter revenue guidance of $22 million to $25 million and expect third quarter adjusted EBITDA to be close to breakeven. We're reaffirming our fourth quarter 2020 revenue guidance of approximately $25 million to $30 million and we expect adjusted EBITDA to be positive. We're also reaffirming our 2021 revenue guidance of $200 million to $250 million and providing 2021 adjusted EBITDA guidance of approximately $40 million to $50 million. Our 2021 revenue guidance contemplates the expansion of our operations at Pennsylvania, including the addition of seven new stores, and the recent grower-processor acquisition. The addition of two stores in Illinois, for a total of four in the state, our vertically integrated licensed in Virginia becoming operational. Our new stores in Santa Barbara and Culver City, California, growth in Nevada, and our Ohio business are coming online. Thank you again for your time. Operator, please open the call for questions.
Operator: Thank you. [Operator Instructions] Our question is from Graeme Kreindler with Eight Capital. Please proceed.
Graeme Kreindler: Yes. Hi, good morning, and thank you for taking my questions here. I wanted to ask a follow-up question with respect to the 2020 outlook, on the EBITDA side of things, implying a 20% EBITDA margin when you look at the range there, so I was just wondering, with respect to the assumptions that are built into that EBITDA margin, as you're getting some more vertical integration in Pennsylvania, and could potentially add some more vertical integration in some other states, I'm wondering if you see any potential for upside on the EBITDA margin, or even just on the core operations as they stand right now as they get more efficient. Thanks.
Jim Cacioppo: Hey, thank you, Graeme. Good morning. Yes, so, this was the first time we put out EBITDA guidance, and I do believe vertical integration, as you suspect, will increase our margins, and as well core operations. So, in particular, the Grower-Processor we just bought in Pennsylvania is doing its first harvest, and we laid out a series of six or seven steps that we're pursuing to optimize and to grow that facility, and of course, that is not in the full-year numbers, because each quarter will be better than the previous quarter, as we laid out approximately 12 to 18 months. So, if you looked at the exit run rate of 2021 margin, I think they would be higher than the overall year just based upon that. So yes, I think your intuition is correct on that, and I think the margin in 2021 represents the fact that we still have this corporate G&A that's fully built out, and our operations are growing very fast, in a full-year basis that margin will be improving all four quarters, but that represents a full-year margin, which is lower in the first quarter than it is in the fourth quarter. So, yes, vertical integration will help, but the operations are growing as we laid out will also help and the exits will be much better than the full-year.
Graeme Kreindler: Okay, understood, thank you. And then, just looking at the Q3 guidance here, the revenue range of $20 million to $25 million, and then looking at the reaffirmed range for Q4, the $25 million to $30 million. So, right now, that would imply the growth rates slowing down a bit into Q4 here. So, I was wondering in terms of looking at those assumptions there, obviously have a better handle on the outlook for Q3, given that it's closer in time, but I was just wondering, are there any particular trends you are anticipating in Q4, where we might see a bit of the slowdown in growth as it has to do perhaps or something with stimuluses or more just you're going to wait and see how things develop into the back-half of the year there, just want to get some more color. Thank you.
Jim Cacioppo: Yes. So, Graeme, we do our best job to project out the numbers, and I think what the fourth quarter represents more than anything else is probably the slowdown that COVID has had on opening stores. So, the regulators and government officials that you're going to, that you went to, in sort of April and May, or even the March, we had to work-from-home that to get a home office set up, they got behind on their work, some contractors couldn't show up because some people in their crews got COVID. So, all those things have caused the opening of stores to get delayed. Although, we've done a great job on operations in terms of revenue growth, the store, the store build-out definitely were slowed down by COVID, and so, I would also say that these had the first quarter and second quarter 2021, because so many stores will be opening up and the new Grower-Processor acquisition will be improving the wealth curve that'll happen to kick-in in the first quarter of 2021. I think that's when the growth rates sort of kicks back up. So, that's the best of my knowledge what's going on, and in addition, it doesn't take much to push a store into the next year. It's one month away, or it is coming off at the end of the year, two months away, and so we do have some very -- probably what could be our three best stores opening up in the late fourth quarter, you're not going to see, or early January, if they get pushed, you're not going to see the effects of that in the fourth quarter, and those stores are the second store in Sauget, across the bridge in St. Louis, and the second store in Bloomington-Normal, both that we think will be back to our stores in the [gray] [ph] market, and won't be much attached to that of those stores in the fourth quarter. I hope that helps you out.
Graeme Kreindler: Yes, that's very helpful, appreciate that, Jim. And then the last question I have before I jump back in the queue here, just a follow-up back to the comments on the call about bolt-on acquisitions potential for getting further vertically integrated here. I'm just curious with respect to the first-half of the year was really characterized on the M&A side about distressed opportunities, now that we're in an environment where many of the cannabis equities particularly on the U.S. side of things are coming off the lows, what's the environment will look like right now, it's still very attractive, it's still a buyers market. If you could provide some more color on what sort of opportunities you're seeing and perhaps where the prices are trending, that would be appreciated. Thank you very much.
Jim Cacioppo: Yes. So listen, we were one of the only companies to get a deal done [indiscernible] I think the only one. So, the deal volume was exceedingly low in the first and second quarter. We closed two deals, but one had been the deal we had announced almost 12 months prior, but -- so, I think you saw -- any closures you saw deals, really related to stuff that was put in place prior to the COVID times, our deal in Pennsylvania on the other hand was one that we announced, and financed, and closed during the COVID times, and I don't think there's been any others that where you've seen the closure. So, I think that deal volume is just really starting to tick up. I think people are coming. The acquirers are coming out of hibernation. So, we would expect a little bit more activity, a little bit more potential competition on that side, although not a great deal. In terms of the sellers, I think there's a list of sellers that you would know, very large MSOs that need to raise cash and their best opportunity to do so is to sell assets. I think there's also large MSO or two that are restructuring their balance sheet and will need cash after the restructuring and you would think that the best opportunity for them to do it might be selling assets. So I think there's plenty of assets for sale at a large public MSOs in the private market you have a lot of operators who've been there for a while seeking capital. So, you can sell their licenses or operations without any success. So I would think that we would have some good opportunities for the foreseeable time. And I know I suspect that you'll see some more good deals out of Jushi but you never know until you know.
Graeme Kreindler: Okay, got it. Thank you very much.
Operator: Our next question is from Shaan Mir with Canaccord Genuity. Please proceed.
Shaan Mir: Good morning, and congrats on the quarter here. It's just one quick question from me. On that revenue guidance for Q3 and Q4, just trying to get an idea of what the acceleration would be like in the Pennsylvania market from the current quarter into the next. So maybe if you could provide some details or some color just around the sales mix that you guys saw from Pennsylvania in Q2, and kind of how you expect to see that trend into Q3 and Q4. So what portion of that $20 million to $25 million or the $25 million to $30 million do you expect to see coming from Pennsylvania? Thank you.
Jim Cacioppo: Great, thank you. I think a large amount of it comes from Pennsylvania. I don't have the numbers in front of me to be more specific than that, but I'll give you some examples. We had two stores open up in the second quarter that are just getting up and growing. In addition, we had our two Philly stores that will compromise in the demonstrations back end late May and so just having those four stores mature and come back online, I think is a real life growth opportunity. We're also seeing some really nice continued nice same-store sales growth. So that supports it and then the acquisition of PAMS, the cultivation processor license in Pennsylvania we'll put that on the books. It has some existing revenue but we're ramping that up as mentioned, there was 45,000 square feet of cultivation space almost half of which was just completed, and the grow rooms are virtually empty, so we can fill those up and start that ramp, and then we'll do the approval to that operations going into the fourth quarter which provides more growth and then continued same-store sales growth where we don't have as Graeme pointed out, it appears that growth rate slows down a bit in the fourth quarter and that's primarily due to the Pennsylvania there's about five, five of the seven stores that we will open up next year, will all open up, I think pretty similar time, and that time got pushed back because of COVID related delays. And so that really is the first, the second quarter of next year. So yes, I think the growth is largely due to Pennsylvania and the slowdown in the fourth quarter is fit to the Pennsylvania because of the COVID for sure, and then, Illinois, we have two stores that we're opening up and we're hoping one gets up and going in November, and the other looks like it may, if it gets open this year will be at the end of December. So the Illinois growth is really just the same-store growth that we're projecting and the new stores really got pushed into 2021 for the most part.
Shaan Mir: Okay.
Operator: Our next question is from [Brian] [indiscernible]. Please proceed with your question.
Unidentified Analyst: Jim, congratulations on a great quarter. My question is on guidance as well, I guess, when you originally introduced the guidance, it seemed pretty aggressive, and now when you look at your fourth quarter at 30 million annualizing at 120, it seems quite conservative. Can you break down the guidance for 2021 in terms of what you're going to do in Pennsylvania and Virginia, and then, also what effect full adult-use will have on those numbers in 2021, if we get full adult-use?
Jim Cacioppo: Yes. So, [Brian] [ph], I don't have the projections in front of me to do the breakout. So, in terms of more details, I would suggest you or anybody else call Michael Perlman, our Head of Investor Relations to get a more specific if my team is willing to disclose details on. I'm not sure how the legal team feels about that, but in 2021, Pennsylvania becomes -- I mean, it's clearly the biggest asset of the company, although Illinois punches, given that we only have two stores, these are monster stores to be honest with you, and they're just doing fabulous, and so, Illinois shouldn't be discounted and those two stores opening up could be our two best stores in the system. They are adult-use now, which accounts are part of that. They're also very well-located stores, not only the markets, but also the locations itself are fantastic stores, both old and the new ones. So, Illinois will do very well in 2021, but Pennsylvania is clearly our keystone asset [technical difficulty] keystone state, but 15 stores in total and seven more opening up, and then the maturation of those stores, and in addition I cannot find enough that this Grower-Processor we bought has so much potential that's unmined, the company we bought it from was kind of short on capital, and it just needs some tender, love and care, it's a capital investment, and an operations team, which is a great operation out of Colorado used to go in there and get the yields up, the potency up and those types of things. So we're very, very positive on that, and that's going to improve every quarter for a good 12 to 15 months, at least. So, yes, and the improvements are not just improvements, but it's growth because we also have a capital expansion project of about 25,000 square feet. We believe we can fund that off of a sale leaseback, we don't have to go to market to fund that, and so we're -- our balance sheet, really have the cash on our balance sheet, you don't have to use that. So, we're very excited about the growth of Pennsylvania. So, in terms of the adult-use in Pennsylvania, as you said, the Governor came out earlier this week for the first time and was quite specific about tying it to adult-use to some of the economic issues and joblessness issues that the state has due to the COVID pandemic. So that was very welcomed by us, and in terms of the impact that could have on your business, I would point you to Illinois [technical difficulty] Illinois, and probably others as well, that you look at -- we acquired the business in the first quarter and it was a medical business and a pretty well-run medical business, you know, and then we converted those in March and May to adult-use, and as we reported in that quarter, the sales growth has been 330%. Now, that's not all just adult-use, [technical difficulty] did a very good job of the Beyond-Hello.com of running the stores, we've changed the way you go in and out of the stores, and we did a great job with inventory procurement in that market. So, a 330% is what people talk about, a tripling of the market. So, it would be a fabulous thing for Jushi if Pennsylvania went to adult-use, and I believe the company that most concentrated to Pennsylvania, given our smaller [technical difficulty] some of our larger market cap competitors in the state. So, you get a big bang for your buck at Jushi for what could happen to the positive in Pennsylvania. Thank you, Brian.
Unidentified Analyst: Yes. So, in addition to 15 stores doing 4 million a month, that's about 65 million in Pennsylvania, and if we see similar effects as we saw in Illinois, where you get three times that, and that alone is 200 million, and the rest Illinois, Virginia and all your assets are free, I mean, that seems that your number is quite conservative, should we get adult-use in Philadelphia?
Jim Cacioppo: Yes. I didn't answer that second part of your question by far. I just went on with the first; lost focus. So yes, but if it goes adult-use, we expected it to go adult-use in the first quarter. There is a legislative session in the fourth quarter. We hope it happens, but I think it's more likely in the first quarter of next year, and then there's an implementation process that takes place, in the Illinois, they went adult-use and then it took a number of months before the program actually started, and I forget that was a six-month period or what it was. So, I really think the adult-use, if it happens, kicks in as early as the late 2021, but that provides a tremendous uptick in 2022, and then, in Virginia, I think Virginia is a state where the growth in 2021 is maybe the harder to predict, because it's a new market. Of all the markets we're in, it's the harder one to predict, because it's brand-new. There actually is no legal cannabis sales currently in the State of Virginia, and so, given that and given that we think it's a good program and the there is quite a favorable political winds backstay for the program, we expect 2021 and 2022 to be tremendous growth years of Virginia. So, we have two of our three top states, where we have with the adult-use of Pennsylvania and in Virginia just a maturation of that program, we have sort of tremendous growth potential in 2022. Now, we obviously don't have those numbers or not -- if we did, we would share them, but we have numbers, but we haven't drilled down on them, and we wouldn't share them this far out, but so, there's tremendous growth potential in this asset base for two, three years, and that doesn't include in fact that we have this platform, and I think that we have done some of the best value-driven, opportunity-driven deals of I think any company, and the platform is now fully built out. So, I think [indiscernible] the revenue guidance for us putting more revenue and EBIT on to the platform at good prices in 2021 and just executing a little bit better than planned, but the adult-use I think pushes us into 2022 really before you see the big impact in Pennsylvania.
Unidentified Analyst: That's great. Thanks very much, and congratulations on a great quarter again.
Jim Cacioppo: Thank you, Brian.
Operator: We have reached the end of our Q&A session. I would like to turn the conference back over to Jim for closing remarks.
Jim Cacioppo: Great, thank you for participating on today's conference call everybody. We look forward to keeping you updated on the advancement of our business. In fact, we plan on announcing the timing of Jushi's first Investor Day shortly. So, please stay tuned, and stay safe and be well.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and have a pleasant day.